Operator: Thank you for standing by and welcome to the Perseus Mining March Quarterly Conference Call. All participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I must advice you, that this conference is being recorded today 22 April, 2015. I would now like to hand the conference over to your first speaker today. Mr. Jeff Quartermaine. MD and CEO. Please go ahead, Mr. Quartermaine.
Jeff Quartermaine: Thank you very much and welcome everyone to this conference call to discuss the March quarterly report. Especially welcome to those of you, who are dialling in from Sydney, I gather you've had a fairly hectic night, so well done on being able to join us today. This week has seen a good deal of news flow coming out of Perseus. On Monday, we published details of our updated Life of Mine Plan for the Edikan Mine and yesterday we published details on the recently completely Feasibility Study for our second mine, the Sissingué gold mine. And today of course the quarterly report has been published with summarizes all it's occurred over the last three months. Now before going onto specifically address the quarterly, there is an important point that I think needs to be made to put all of this information into context. Over the last couple of years at Perseus, we as an organization have matured quite considerably and as part of our transition from being an explorer to a producer, we have materially strengthened our management team by fewer in person in West Africa. And with that, we've not only developed the capacity developed well thought out and meticulously crafted plans, but we've also developed the operating capacity to implement those plans and deliver to forecast the outcomes. The two plans that we published earlier this week the Life of Mine and Feasibility are examples of that as well considered and very soundly based plans. In the March quarter report it's about third or fourth quarter in succession, it's a clear illustration of the improvements that we've been achieving operations in Africa and our ability to deliver on expectation. So if I guess to those of you who being a bit sceptical of our ability to either plan or implement successfully in the past, might I respectfully suggest that, it's probably a good time for you to set aside those preconceived ideas and take a fresh look at Perseus and I think that, you'll be pleasantly surprised. So with that, let's turn to the quarterly and just see what I'm talking about here. So on the production front, [indiscernible] front and Edikan gold production for the quarter was 47,450 ounces which was only 2% down on production in the December quarter. Now in itself, while that is a slight decrease it is actually quite an outstanding performance given that for two of three months of the quarter. We are only committed by the Ghanaian power authorities to draw power from the grid on four out of every six days. So basically having availability of equipment of 66%. Now notwithstanding this restriction the teams responded extremely well and not only for what's production on par with the December quarter, but we're very well positioned to deliver in line with our updated production guidance for the half year. And before somebody asked me, hey now, how could that be the case given that guidance is 100,000 to 110,000 for the half year. We'll tell you that, there is expected to be a significant pick up in grade and production in the June quarter. The availability of power and therefore development of the process plans. You know certainly presented us with the challenge here in the quarter, but on the days that we did have the plant ran it about 92%, 93% of the time and most of the time that we were down, was in fact a function of power spikes that came about as a result of instability in the national grid. Hourly throughput rates were regularly well over our target of 950 dry tonne now. Recoveries were bang on target in all areas of the plant. For example in the month of March, the average recovery throughout the plant was running around 89% and this is a fairly good outcome when you consider that every four days, we were shutting down operations for two days. As anyone who's operated one of these floatation circuits will know that maintaining stability in the plant, is absolutely essential in order to generate the results that you get. And so the fact that we've been able to generate these very good results with these disturbances, this is something of a testament to the skills of our operating team. The really positive aspect of this though, is that from the 19th of April, we are now back on full power. So I'll talk some more about this in a moment how we've actually managed to get ourselves to that position, but that is case. And certainly, if the performance that we've seen in the March quarter extends as we expect to a seven day a week operation for the balance of the June quarter and grade has move up as I mentioned earlier on, has to be hit the sweet spot of the AG Pit, but June is also going to be another very good production quarter. On the cost front, we've also kicked some gold. So our all inside cost for the March quarter averaged US$903 an ounce. Now this is 11% lower than in the December quarter and about 25% lower than the midpoint of the guidance range and this is achieved in spite of the fact that there was a slight decrease in gold production during the quarter for the reasons I've outlined. We have made material and sustainable cuts throughout across our cost base. Don't be confused by the unit cost that we reported in terms of dollars per tonne, what we have seen because of power for instance the tonne through the mill decreased and so I meant, that fixed cost was spread out a fewer tonne, but I can assure you that the cost base has decreased and that's come through into the dollars per ounce. I should also add that the decrease in our cost base is not only due to a decrease in our operating cost base, but also as a result of some deferred capital expenditure on housing relocation and I'll talk to that point a little more in a moment as well. Now on half yearly basis or on a year-to-date basis I should say, so financial year-to-date basis. Our all in site cost is as of $9.61 an ounce, which is down from $9.88 at the end of December. So the trend of reduction in operating cost is continuing and this compares pretty well with our guidance of $1,075 to $1,125 for the year and it's also I think fairly well below the majority of broker's forecast. So that to our way of thinking is a fairly healthy outcome and I think that there are number of other things down the horizon that give us good cause to be confident about the future. There are number of things that we have done, I guess the one very important one is power I mentioned that before. We did buy four generators during the course of the quarter and have got those installed on our site at the present time. We've also managed to sort out a few other details and as of the 19th; we are running on full power. We were always originally scheduled to operate on full power from the 19th, through 22nd and then have a two day break, but through these arrangements we put in place, we will be picking up full power on the 23rd. So from the 19th, we are back on full power and I think is that is something and not anyway just full power, but we also have some additional capacity available to us in the event that the situation in Ghana deteriorates from where just the present time. So that's a very positive thing in terms of us being able to operate going forward. The second initiative that we've completed during the quarter which is very important is to finalize the contract for our contract mining. Now you'll recall from the December quarter report that we've ordered a contract to a local Ghanaian group to mining one of our pits at very, very competitive rates. They have mobilized their equipment and will be doing an excellent job during the course of this quarter. So we are very, very pleased with the way that one is operating. We've also awarded a contract to AMS to mine the Eastern Pits as well. Now you'll recall from our earlier reports. We have been out tender for this, we had eight bidders including four internationals and four Ghanaian companies Deep Forest. We shortlisted down to three and we've negotiated with three people and AMS have come out in front of the other tenderer's and we've struck a deal with AMS and I think, both AMS and ourselves are very pleased with. Now one of the aspects of that is, that is that AMS are on the side. We don't need to build another set of infrastructure, they have excess equipment available to them and can immediately move into the second mining task as soon as we are ready to accommodate that. The other issues or other matter that we put to bed to this quarter is been the re-optimization of the Life of Mine Plan and we put out a very comprehensive statement on this on Monday. Essentially, we've designed the $1,200 pit shells, we've employed very realistic cost and technical parameters. We've updated the mineral resource and reserves. The production going forward over the remaining 8 year mine life from 1 July this year its average is about 240,000 ounces a year. As I said, that's about eight years ahead of us and the weighted average all in site cost is $937 an ounce. Now just so that everybody is clear about this, this includes all operating and all capital costs and when I'm talking capital cost I'm talking about the cost of stripping and I'm talking about sustaining capital including the costs of relocating houses etc. getting excess to the Eastern Pits and Northern Pits for that matter. Now in the forecast, we've allowed a total of $108 million for that sustaining capital. And over that $108 million about $70 million of it relates to cost associated with gaining access for all the remaining pits on our site. Previously when we've discussed this, we've only talked about access for the next three or four pits. This plan allows for all of the pits that we need to get into and that amount of money that we put into the plan for that, would be very, very disappointed if we can't reduce that going forward because we believe that there are some avenues open to us and we'll be exploring those in full. With the same figure that we deployed on getting our money cost down in the last quarter or so. Now as a result of its plan, I mean what is very evident is that $1,200 an ounce gold, which is the current day price. There are some very, very material cash flows generated by Edikan going forward and by applying a discount rate equal to our cost of equity, what we come up with there is evaluation on this mine that is represents multiples of our current share price and I think that's a point that perhaps hasn't quite been fully appreciated by the market today. Now before leaving Edikan, I will make mention of a couple of other high profile issues that have people have asked about in recent times. Now, one of these is the issue of the village relocation project that we've been embarking on and access to the mining in the Eastern Pits. Now the situation at the present time is this that we've not started work on that relocation project and we will not start on it, until full formal approval has been received to start mining in those Eastern Pits area. Now it's been a very frustrating process for us. We've done everything that is legally required of us to comply with the laws and to get those approvals. We held a forum in [indiscernible] on the 10th February, it was only last night in fact that we received a letter responding following that forum setting out some very minor amendments that are required to our supplementary EIS, that document will be resubmitted on Monday and on the following Monday there will be a formal meeting held to sign up on that particular piece of work. As a result of that, we should get immediate access or at least access within one or two days from there to the Eastern Pits mining. Now one of the benefits of having AMS is our contract here recalls is, that given that they're already established on-site, they are able to rollover into that work very quickly. They've told us that the time required to move into those new mining areas is only a matter of days and they will be in there with some vigor. The other advantage of having someone like AMS working with us is that, they are very experienced mining contractor and very capable. There is never been any question about AMS capacity to move dirt and with their ability and access plan [indiscernible]. We've got every confidence that they will be able to recover time on our schedule by moving the material that needs to be moved in order to access the all [ph] that will come from those Eastern Pits. So, well the village relocation exercise is been frustrating for everybody and there's been lots of questions around it and we do believe that we are not far from getting that access and moving on with that part of our business. The other issue that we're pretty please about it, around the Edikan area is exploration. We've been, as people are aware we've been drilling around some of the known deposits looking at trying to upgrade the quality of the resources and to-date, we've managed to have exploration success at Bokitsi and Mampong and the most recent target has been the Chirawewa Pit. Now we've got the results from under that pit and they're quite strong from that infill drilling program. What we will do over the next short period of time is to put that into a resource and updated resource. It will probably be result in an increase in tonnage and increase in grade in that Chirawewa resource and then that will be affected into the next version of their Life of Mine Plan, when we updated to next time. At this stage of the game, those results and that increased resource are not part of the plan. The other thing that we've been doing is drilling on our Heap-leach Pad, some old Heap-leach Pads that were constructed by the prior owners of this mining site. And we've been pulling up some pretty encouraging drill results from there as well. Now the importance of that is, there is some high grade upside material around those pits and they will be, that material if it does hang together and can be mined economically, will provide us with the ability to sweeten out mill feed in coming periods and that is an attractive thought because material goes through the mill with that much resistance and certainly delivers incremental goal to us. Now the impact of that is not in our Life of Mine Plan at this stage either. So both of these are positive initiatives that will add some upside value to the plan going forward. Now the second announcement that we published this week was relating to Sissingué and that's also pretty important announcement as well because what is it, is it contains the results of our revised feasibility study of that project. For those who haven't had time to read it, let me just very quickly summarize what we've done. So we've got a revised measured and indicated resource of about 8,80,000 ounces. Which converts to proved and probably reserve of about 429,000 ounces using $1,200 gold price? We have produced about 385,000 ounces of gold over the five and quarter year mine lives [ph]. So that works out around 75,000 ounces a year for the first five years at this stage and assuming that we don't discover any more ore in the area which is fairly unlikely I would think. The important point is this, is that the overall and sustaining cost for the project is US$632 an ounce, all up and that is a very attractive outcome and it's the result of specific exercise that we did to design a project that would be very strongly cash positive in all circumstance that we can envisage. And I think that at US$632 an ounce that is an outcome that we are fairly happy with. The cost of the project is, the start-up cost is $106 million including contingencies and also includes that might add about $11 million of cost for mining. The project will be funded through a mix of our existing cash reserves and I'll come to that in a moment and a modest amount of third party debt. We are looking to start some early construction in the September quarter. Once we get going in full, it will be about 14 months to go from there. At a $1,200 gold price, this project generates and entail a rather return of 27% of real unheeded [ph]. So if we put a bit of debt on that internal rate of return will go even higher and I think that in this day, when these days when people are actually are paying negative interest rates in some parts of the world 27% real is a fairly healthy return for it. Now a number of people have said well, you know it's a little bit small isn't it? In comparison to the Edikan Mine why are you considering this sort of investment? Well I think, there's a very strong case for doing it. I mean certainly, the Feasibility Study indicates that it's both technically and economically viable not question about that. But I think that's a very compelling strategic case as well. As we've been saying for some time being a single mine operator in a West Africa is a fairly risky kind of way to go forward and so this development provides for the second production source in the second income stream. So it materially reduces our reliance on Edikan for liquidity and income. It also serves to reduce the overall risk profile of the company, by giving us a spread of geopolitical risk in a spread of technical risk and we think that is very, very important in terms of being able to move forward with some competence in this part of the world. We believe, there is a development risk on this particular project it's pretty lot compared to what we would have to incur, if we were to say for instance acquire another project from somebody else. We know this deposit very well. We've had the resource done several times now. We've done, two Feasibility Study on the old body. We've done a very extensive metallurgical test work program and we understand the old body very well and we've come with a very cost efficient way of processing it. We've been using a very credible engineering firm, Lycopodium for the study, so they've done the engineering and cost estimation. Lycopodium, I should point out have a very long track record of successful developments in West Africa. So we fair input into the process, we're taking a good deal of comfort. Financing risk is relatively low, we have a very strong balance sheet at this stage. At March 31, for instance we had a AU$149 million of net working capital and no third party debt. So our capacity to borrow money is good and we have a significant amount of cash available to us and now not all of that cash will be available to Sissingué. Some of that will clearly be allocated to the Edikan work as well. But certainly between given the strength of the balance sheet funding this project should not be a major concern. The other point about it is, that I think at this particular time of the cycle. It does make sense to move forward. I know a lot of people are hesitant to this stage of the game, but our position is that if we go forward now. It's more likely than not at some time over the next few years we are going to see the prices of gold move up a little and what we want to do is, to be in a position to produce gold when that occurs not make a decision to develop and then wait for another eight or 10 months. Now with gold prices goes in the other direction as it's quite feasible of course we know that, what goes up, does go down. But if it does go another direction, when producing gold at $632 an ounce means it will be producing cash flow when many others in this industry are going to be struggling. So I think in terms of timing of the cycle, timing of the development. It makes a good deal of sense for us to go ahead. If you look at the corporations, so if we're looking at combined Edikan, Sissingué situation and just using round numbers here. What we'll be doing for the five years once Sissingué is in operation, is producing around 315,000 ounces annually at a weighted average cost between the two operations of $864 an ounce. Now you know at most of the gold price scenarios that are being considered out there at the moment that means that we will be cash positive and well positioned in terms of the industry cost curve, I think there is a lot of people who are producing at a lot higher than what we would be doing at $864 an ounce. So in summary, the development of Sissingué to us represents a relatively low cost, relatively low risk and treat in doing business in West Africa and Cote d'Ivoire in particular and we believe that from the experience that we have already gained at Edikan and will gain from Sissingué. We are going to be very well positioned to take advantage and further opportunities had become available in that part of the world in coming years. So we believe it's the right time to move forward. We do have a few things to do before we move to full scale development, quite clearly we need to arrange and tie down the financing package and work is well advanced on that. We also need to finalize the mining convention with the government in Cote d'Ivoire. We had a successful meeting yesterday in Cote d'Ivoire and that I think that in the next few days there will be some more that will probably bring that to a conclusion. We need to finalize a implantation plan both through the development and operating phase and get the right people in place to implement that and we're working on that at the present time and we also need to start up one or few early works to get the local community moving forward. We're going to say, there are few things to do before we move to full scale development but certainly that is something that we as a company want to do and are looking forward to do in coming period. Now talking as a company and our ability to do these things. I think that one of the things we are placed about it and we always have had a reasonably prudent approach to financial management. I think it's really, the benefit of that is starting to show through. So our balance sheet is quite strong as I said before. So at the end of the March, we had a AU$149 million in working net working capital. So that's current assets less current liabilities which represents an increase of about $28 million during the quarter and an increase of about $77 million over the nine months to March and that is a fairly pleasing trend to have developed. At the end of March, we had cash and bullion of $83.7 million and that's $25.9 million more than at the end of the December quarter. That doesn't include the $12 million odd that we have cash in deposit in Escrow accounts for various environmental commitments etc. So that's $83.7 million of both gold and bullion. The cash balance itself was $78 million and about $6 million in bullion on hand. So that's a fairly healthy position to be in as well as we go forward. We sold about 48,900 odd ounces of gold during the quarter and the average price that we achieved was $30 and $75 an ounce, that's up on the December quarter, when we did $12 and $83. Now the reason why that we were able to achieve that sort of an outcome when the spot price was well down from that, was we delivered day in an half ounces into that had been previously hedged. We delivered gold into those hedges and the remaining sales are made around spot or as part of our spot preferred prices. Now at the end of March, we still had 69,500 ounces of gold sold forward and a weighted average price of US$1,548 an ounce. So that's a fairly healthy position for us to be in going forward and so with combined improvements in production, plus these elevated selling prices and I think our ability to generate cash going forward is quite strong. That here is just as a matter of interest, at the end of March was worth AU$29 million or about AU$30 million or US$22.8 million at the end of March. So their currently use of benefit to us in having the hedge available and I think that to say that will certainly underwrite some decent cash flows in coming quarters. I guess the final aspect of the balance sheet that's where I'm pointing out is the fact that right now, we are debt free. We have no debts to outside parties rather than creditors and accruals in the ordinary course of business. So that puts us in a situation that is somewhat different to many in our peer group having a strong financial position from which to move our business forward. So all in all, it's been a good quarter there have certainly been a few challenges and we've had to work very hard to overcome those challenges. But we are doing that and I think that credit for that, a large amount of that credit for that must go to the team of people that we've assembled at Edikan and in our corporate office here in Perth. They are all very capable people and are passionately committed to doing what they're doing and I think that having that enthusiasm at work is delivering outcomes and I think all of us are really looking forward now very much to the future to implementing the plans that we have put out into the market over the last couple of days. And as I've said at the outset of this presentation, I think that there are some in the market who have been wondering whether we have the capacity to do these things. I strongly recommend that now is the time to look more closely at the company and I think that you will see that we do have the ability and we are achieving the outcomes that we set out for ourselves. So the future of Perseus is looking quite strong. So with that, I'll stop and invite number of questions.
Operator: [Operator Instructions] your first question today comes from Warren [indiscernible] please go ahead. Sorry, your new next question comes from Michael Slifirski from Credit Suisse. Please go ahead.
Michael Slifirski: I've got four quickies, if I may? First of all, the morning cost in your Life of Mine Plan, look I've no doubt it has been well researched and I just want to understand really what the key elements are to drive that and what the risky is to that because it seems to be critical to cash [indiscernible]. So now few assumptions hold as [indiscernible] contract rates, what's the key driver of that significantly lower cost assumption? And what you're realizing now?
Jeff Quartermaine: Okay, well just very quickly the $3.33 tonne that is in there is a complicit figure. It includes the rates that we are currently paying on the, from the existing AMS contract. It includes rates that we have contracted with Rocksure for Fobinso, it includes rates that we have contracted with AMS for the Eastern Pits and we've made assumptions that the rates that we're seeing for Fobinso Pit will apply similarly to the last stage of the AG Pit. So there are some, that's the basic assumptions that underpinned at now, why there has been a reduction is that, previously the cost that we were paying included a very substantial amount of inflation that have been paying back to the November 2009, the rates that we are seeing are lower than what we saw before, so that is an effect, but also fuel is working in our favour as well. We're seeing some decreases there. And the thing about the risk to these numbers going forward is that we do have escalation clauses in the new contracts, but those escalation clauses are written let's just say in a tighter fashion than what the original clause was written. And I think that, we are unlikely are out to see and a major blowout as a result of inflation going forward.
Michael Slifirski: Okay, thank you very much. The milling cost assumption equally impressive to see what you achieve with milling in the quarter. So what's the change to get you again down to that lower things are just the fixed cost spread over more times, as you get back to more normalized productivity?
Jeff Quartermaine: That is an element, but in addition to that too, we've also made a lot of cuts in that processing area. So we've renegotiated lumped in cyanide contracts, we've renegotiated grinding media contracts. We've taken a very close look at our maintenance behaviours and the contracting of labor that we do in that area. And right across the board, we've tightened up in that area. I think, we were just on-site last week going through these numbers and I've specifically zeroed on this one to say, we'll you know how confident are you? Well the level of confidence is that, not only rely to that number, but actually do better. But we'll see if that's the case because I guess there are some low hanging fruit there that, that's taken a bit of time to it, to get hold of and we are certainly doing that now. And with the renegotiation of those contracts and alike, I mean we still have material in stock, so we're using that. But the cost savings will come through in future periods.
Michael Slifirski: Okay, thank you and then finally with respect to Sissingué sort of three parts there. One the mining convention, are there any assumptions at risk from final conclusion of the mining convention. Secondly, the Life of Mine upside are called in the past that soon to be an expectation that you comfortably get to 10 years and then thirdly, with financing what's your hedging approach?
Jeff Quartermaine: Okay, the mining convention side, no. I don't think there is any risk to the assumptions that we've made, basically all of the fiscal assumptions are set down in all of these days and the mining convention itself is basically a formalization of the guarantee of fiscal stability plus it also includes a couple of clauses that address the community social obligations that we'll have going forward. So what will be required to deploy to the community into training and various programs and we're, that's being fairly well established within Cote d'Ivoire as well so there will no surprises around that. They did go through the document last night in Cote d'Ivoire yesterday and well that processes isn't finished, there were no surprises at all came out at the first part of it. So we're pretty comfortable with the mining convention process and we don't expect anything happening there. Now as far as upsides concerned, you're quite right. When we originally published the Feasibility Study, we did this back in 2010 I think it was or 2011. We certainly talked about upside potential in terms of the reserve now. I think at this stage, we would be less bullish about material upside and we're happy to see that at the five years to the moment, there is upside though, I mean in the events that the gold price was doing craze [ph] for instance, it's quite a lot of ore outside of the pit shell that we could access at a higher gold price and what would come in, but that's not the key thing. There is a quite a number of showings to the south of belt Sissingué. We've been doing and older program followed by RAB drilling to confirm that and we have been getting some very interesting challenge down the south there. So more drilling needs to be done down there and you know in the event that comes up, there is very definitely potential for incremental from there. Similarly over around the [indiscernible] deposit which is on the Mahalé tenement about 30 odd K's from Sissingué. We've been reporting over the last couple of years, some very material discoveries of gold mineralization over there. Now what we haven't done is be able to hang all that together into a joke [ph] standard resource and will need to do more work over there before that, before we can rely on that as it being sourced. But we do believe that there is potential for that to occur, but it just hasn't been proven at this particular point and what we are keen to do is to demonstrate that even without that upside, this is a very viable project and one that adds incrementally to the value of the company. So we will be going ahead with the project as it is, but the opportunity to add to that value is certainly there, but going to require exploration success and we do know that exploration success is not guaranteed. As to financing now, the question on financing was about hedging, wasn't it now?
Michael Slifirski: That's right.
Jeff Quartermaine: As far as we're concerned, the issue of hedging and financing, don't really need to go into the same question. We hedge a small percentage of our production irrespective of whether we're financed because we believe in complete risk management right across the board. We don't believe it makes very much sense, if we're charged with managing the assets of our shareholders to protect against some risks, but leave ourselves exposed to probably what is the major risk, which is gold price so. We have been doing hedging over period of time, we don't hedge very much of our production, but what we do, we do quite well and as you can see from the gold price we've delivered recently. There is a benefit to doing that in downside scenarios. Now people say, but if we do that then you're taking away from the upside. Well we're taking away potentially from the upside for a very small proportion of our reserve and the balance of that reserve is exposed to the spot price. The difference is, is that if the gold price falls, we can stay in business whereas those who are fully, as to downside may find it more challenging. So we'll continue to do that prudent hedging that we've done in the past and as to whether financing will require us to do any additional hedging well, I mean I don't know for sure because we haven't addressed that specific question. But if that is a requirement than it's something that we will examine and we will take on board and we will work with going forward. It's not something that we are particularly feared off and we don't have a track record of going out and hedging very large percentages of our reserve and we won't be doing that in the future. We don't have a track record of going out there doing mindless hedges that we don't understand the structures off that put place the company in peril. We do vanilla hedging and we do it for the reason of providing risk go in the downside or protection on the downside.
Michael Slifirski: Thank you, Jeff.
Operator: Thank you. Your next question comes from Andrew Nucky [ph] from CBA. Please go ahead.
Unidentified Analyst: Just wondering about a couple of things. You mentioned increased production in the June quarter around both grade and also compared to this quarter, the improved position. I'm sorry, if I missed but could you perhaps give us some quantum if possible on just what your expectations are there and then?
Jeff Quartermaine: My expectations Andrew are that we will achieve guidance.
Unidentified Analyst: Okay.
Jeff Quartermaine: That's all I'm going to say for stated going. We do have internal targets and we are very optimistic that guidance that we provided will be achieved.
Unidentified Analyst: Sure, okay and on the changeover contracts. Are there any substantial for the one-off payments either with the succession of previous contracts or mobilization of new contractors that we should expect to come through in the June quarter?
Jeff Quartermaine: No, the existing contract runs out of its own accord in the September quarter and that would just simply is because the stage two and three of the AG [ph] that pit will have finished. So that will be the end of that particular contracts, there is no cancellation fees or anything of that nature. As to mobilization, AMS has already established on the side. So there is not a cost significant cost around that at all. And of course, our friends from Rocksure are already in place and working very hard at the present time.
Unidentified Analyst: Sure, okay and finally on Sissingué. The Cote d'Ivoire election I think is for scheduled for later this year that's traditionally been a fairly volatile time in terms of just surrounding processes and everything. Do you expect that this year to impact the timing around just betting down the regulatory environment there for Sissingué?
Jeff Quartermaine: No I don't, I think that the political situation in Cote d'Ivoire is very stable. In fact it's, it's one of the things about West Africa is that countries come and go and you know for instance, the [indiscernible] far sight that was considered by many to be a very stable country had some issues earlier this year. Cote d'Ivoire had some issues five or six years ago and the incumbent government has done an excellent job in bringing stability to that country and we don't anticipate any disturbance around the law. If anything what I think it will do, is it will accelerate the process of clearing all the permitting and everything like that because the one thing that the politicians like to be able to do, when they're on the campaign trial is talk about the successes that they've had and a very keen for Sissingué to be one of those success. So I believe that, we will get absolute corporation from the Ivorian government and in fact, this weekend in Cote d'Ivoire we will holding a ceremony with the Prime Minister and the Mining Minister to recognize the steps forward that we've made with the project and I think that would be a perfect opportunity to agree that, we get everything tied up very soon.
Unidentified Analyst: Okay, great. Thank you.
Operator: Thank you. There are no further questions at this time. I will now hand back to Mr. Quartermaine for closing remarks.